Ana Ribeiro: Hello. Good afternoon. Welcome to the Conference Call for Earnings for Q3. Reminding you that our year follows the Agriculture Calendar. So, we have the earnings for nine months ended on March 31st, 2021. We have with us Mr. Andre Guillaumon, Chairman; Gustavo Lopez, CFO and RI. This presentation is being recorded. You will be in the listen-mode only. During the presentation of the company you will be in the listen-mode only. Next, we will have the Q&A session exclusively for analysts and investors. The audio is also being aired on the Internet on our page and our YouTube channel. Before continuing I will make some clarifications, a disclaimer concerning any declarations made during this conference call concerning perspectives and operational goals. They are all based on assumptions and beliefs of the company and on information currently available. They involve risks and uncertainties, they refer to future events and therefore they're depend on circumstances that may or may not occur.
Andre Guillaumon: Good afternoon. Thank you Ana Paula. Thank you Gustavo once again and I would like to thank you all for participating for you have been following for many years our earnings. Good. Let's go on to the first Slide please. We're bringing you some numbers, relevant numbers concerning Q3, 2021. So, I'd like to share with you what the company did in these nine months. We had a net revenue R$440.6 million. We had a net profit accumulated in nine months R$189 million, adjusted EBITDA R$219 million. One piece of news that we bring is of the second issuance of CRA. This time we did the CRA according to the stock market instructions which gave a lot of visibility to the company and gave us an interest rate that was very competitive rates. This brings visibility to our company and a longer debt profile in line with our business. So, this is an important event in this quarter. Now concerning the right side, we ended the harvest of more than 170,000 tons of soybean in Brazil, Paraguay and Bolivia. There I have a lot of good news, we have some bad news too. But bad news is attenuated by our geographical diversification and we will talk about everything that happened. We finished planting corn; the second harvest of corn. Our region is privileged, most of our corn is in the region of Xingu. It's a region of Mato Grosso that suffered less this region suffered less but we have a corn that is not as well-positioned as we had last year. So, these are the highlights. I believe that I'd like to say that we are in fact a company that has operational strategy together with real-estate strategy. Commodities are booming and we're seeing the market also with better prices; both so booming in terms of liquidity and prices. So, we have a sale that was made last week which is not included in the numbers, we will show this later. This sale was made last week and it's a very interesting sale. I'd like to mention two points about this sale. We continue being a recurring seller of assets. It's the sale that brings an IRR of 20 -- it gives us an IRR or 20.4%. So, 20% in an asset that you bought, flipped, improved and what it shows in this transaction is that everything we will see later on the results, most linked to the price of commodities. We begin to see the price of commodities also affecting the price of land; increasing the price of land. This is in by year 250 hectares worth R$67 million and a gain of 64. So, this is the great edge of the company you can expect. Ana doesn't like because I can't give guidance. This is our business buying and selling farms. You will see that we will be very active during this year. This is the vision we have due to the liquidity in the market during to the booming prices of commodities.
Gustavo Lopez: Thank you, Andre. Good afternoon. Now let's try to explain what Andre said concerning the appraisal of the commodities the higher price and how this is impacting the company's EBITDA. You will remember that we said before the pandemic where the prices we had we expected an operational EBITDA R$130 million R$150 million. Now things change totally with a new price level for soybean, corn too which have the highest price increase and sugar cane. So, let's look at the lower table. We excluded here the biological the effect of the biological assets in sugar cane and corn and we included the result of derivatives of products that already sold. And we see that we have here an EBITDA for nine months and this doesn't include the sale of the farm that Andre mentioned. So, these prices having an impact on the result and should impact also the price of land in the future. Last year R$78 million, we have to remember that we had products that were sold at 1200, 1300 a ton and today we're selling at 2500 per ton this soybean. And here when we see the effect, here we have part of the -- we are recognizing the biological assets we have an inventory 95,000 tons, 70,000 that Andre mentioned that we will harvest and the effect of price especially in this inventory that we're harvesting and we have begun to sell 35,000 tons of this campaign.
Operator: Thank you, Gustavo. Thank you, Andre. Well, now the Q&A session only for Investors and Analysts for subscription.
Unidentified Analyst: Okay, do you mean, our good companion shareholder?
Gustavo Lopez: Thank you, for the question. We made this communication because we received from some communications from the shareholders about the bonus. So, that's why we made this communication to the market. But answering your question, this bonus for subscription that exist before the IPO when the company was founded, it is equivalent to 20% of the company's capital. So, and 15th, so until the 15th of the month, we make the correction. We don't have the IPCA but we have an approximation for May. We will use this calculation. For us it's important, it's money that goes into the company's cash, it will be transformed into the acquisition of farms. It is money that has this objective and certainly we will use very well this money and also the rest of the follow-on in new acquisitions in the pipeline that we're considering very actively in the last few months.
Operator: The next question, Thiago Duarte with BTG Pactual.
Thiago Duarte: Can we talk about the use report in June 30 with the new appraisal of the land? We know that if you do this, you have internal studies to know the value. Is it possible to give us the potential for appraisal that you have in the portfolio? 
Andre Guillaumon: Well Thiago, good it's good to hear you, to have you with us. Two excellent questions. The second if I give you the price Ana Paula will kill me. So, let's begin with this second. I believe that the good thing I always say look at what we do, look at the delivery and you will have an idea. If I were to give you a number, I would say analyze the sales that we made recently, the sale made last week and look at the market, look at the price we sold for, So, initially Thiago, we're not having the correction of the multiple. This will come in years with profitable margin, just high profitability. We also believe there will be a correction of the multiples. Today what's happening, it's a correction due to the price of soybean bag. So, the same sale we made last year we made today. It's the same soybean we had last year at R$89 R$90 today is being priced in the next few years at totally different prices. So, the same thing happened to the land, this is what you can expect from the land. And now concerning acquisitions, I never had such an active agenda. The company's acquisition agenda was stronger before the IPO but today we're still very active. We have meetings with the internal teams two-three times a week, we're looking at many things. I always say that right now Thiago we will continue guaranteeing to the share holders that we will make good positions in Brazil and involve an enormous amount of work. We are very careful from due diligence and also there are assets that you can close more quickly. There's once signed the purchase entails it takes between 60 days to 90 days to be able to continue. So, I have no doubt that the company will be able to allocate this cash in an efficient way. Always looking at what we do. We buy pasture land, we're very focused on pasture land. And this can tell you about the region. We're looking at many things in Mato Grosso, South of Para, pasture areas. There are things in other states. There are things in total things and Maranhao but mainly in this area South of Para, North of Mato Grosso and then total things in Maranhao. This is where we should make the next acquisitions for the company.
Operator: Well, the next question, Philippi.
Unidentified Analyst: We see a lot of droughts there. Could this affect the demand and offer of grains and could this increase the price even more?
Andre Guillaumon: Well, Philippi, Good afternoon. Gustavo will answer the first part. He has these numbers on his spreadsheet. And the second I will answer. -- His microphone is off. -- Philippi?
Gustavo Lopez: Sorry. As I mentioned, we have a plan to sell 95,000 this sale of soybean. It's important to mention we are supplying already sugarcane. The price is R$1 per kilogram. This will give us R$40 million - R$50 million in billing and also corn. With these good prices we believe that most of the domestic market we will have we will be selling during this quarter. That's a summary of what we have for the next quarter. Just supplementing, we left most of the bags. We have made a reduction, we believe it's going to be we brought this projection to 89 bags and I remind you so that maybe the reduction we had is not the same as the reduction in Brazil. But the rest of the country may have a stronger reduction. If you look at the data from EMEA, a study from EMEA of the planting of the winter harvest -- is around 163, -- valued where Para/Xingu, you will see that Xingu was the region that planted, that was able to plant in best conditions and in better conditions.
Andre Guillaumon: And the picture of the Midwest and South is compromised. Everyone travels here. Goias is a state that will suffer a lot, Mato Grosso too will suffer. Reminding you that this is a gain that we Brazilians always wanted. Corn is the second harvest we have. So, soybean is in the summer with more stability. Brazil, 75% of the production of corn is in the winter harvest. It has more volatility. Now international prices are rising, they're very high. I would say to you in the case of Brazil, lag with a reduction in productivity is the reduction in revenue per productivity is still much less than the increase in the price in our case. In the case of Brazil, I can't say the same thing but I believe farmers also will be less corn in the market.
Unidentified Analyst: Thank you, Andre.
Operator: Next question. Now this one, he's an investor in the company through Easy Invest.
Unidentified Analyst: He believes that AGRO3 is an excellent opportunity for investment. What is the message you can give to individuals who want to invest in your shares, AGRO3.
Andre Guillaumon: Now it's on. I'm very happy. I would like to share with you something this great increase in the liquidity that we had in our shares are from investors like you. We saw in the investor base an enormous growth of individuals investing in AGRO3. I believe that for you investor for all the investors investing in our shares, I always say that we are the right company at the right time at the right place. So, the right company because it is a structural thing. I have no doubt, I graduated almost 30 years ago. Brazil produced 68 million tons now 260 and I want to see Brazil producing 500 million tons. And to get there, it'll be faster than it took to get here. So, we are at in the right place. Brazil giving you other numbers. Brazil today a farming Brazil produces grains on 66 million hectares and in cattle raising we have 190 million hectares. Off these 45 million 60 million have potential for agriculture. So, we will soon have another Brazil without increasing area or invading other lands. So, to everyone we are doing this we're talking to civil society and these things will converge and the companies like ours will be in the people, radars responsible people that have the SCD. For us SID was born with BrasilAgro. So, we have SAP running on the farms. So, we had to audit our numbers, we did this, we're also doing a lot in the social area. We had Ana Paula is with us recently. She became a Director of the Brazilian Agri Institute . We give 1% to 1.5% of our profit to social issues. So, now we would also like to mention the team. What we do here, I always say that a successful company is the company that has a clear strategy -- where it once you get and this strategy should be spread in the whole company. We have robust processes to guarantee trust, credibility like from people like you investing in us and we're a company that invest in people. We invest a lot in people; so we believe the company's success is the people's success. So, the company in three years achieve this certificate great place to work and so the leader who doesn't spend time with the employees is not a leader. So, when we look at this, we can in a transparent way say that this is a company that will be successful in the medium and long term due to these reasons that I just mentioned. Thank you for your investment.
Unidentified Analyst: We have another -- beans. How we began in beans?
Andre Guillaumon: We acquired Agrifirma in January 2020. And with Agrifirma came three units, three operational units and two already had beans planted. And beans were through a producer and a seller. If I were to say the five serious people in beans, they are among these five. So, this gave us, we trust. It doesn't have the liquidity the other side that allows you. Why? Beans have seasonality in prices. So, with our partner they have a cold chamber. When beans are cheap, we store the beans in cold storage and then we sell when prices go up. This is how we regulate production in the domestic market. In parallel, we saw that it could bring us good margin. So, we looked after markets outside Brazil and in the acquisition Sinagro, they work with and that company named UPL and they import beans from Brazil. And we said -- let's and was sent to India, this year we did the same. So, well the company Gabriela, we've two destinations. Part of our beans which goes to this storage cold storage which is sold in the northeast and most of the beans produced in Mato Grosso -- these go directly to India. It's exported. And it leaves packed in 50 kilogram bags and it goes to India. We saw in this an opportunity to you have a product with more add value and low risk; international markets you can guarantee. So, our beans I don't have the numbers here but I should say that what we harvested the company understands that in our business strategy it's important to have. We want 10% with other grains, we already have baked beans. We haven't brought you the number but I will say that we are a great producer of corn for popcorn. Yes, corn for popcorn. We planted 1800 hectares of popcorn corn and so we're looking at this where we can find margin. So, we're going after these products and including them, thus attenuating the volatility of the price of commodities.
Ana Ribeiro: Well, before passing through Andre for final comments. I will send the message from --. He said he believes a lot in BrasilAgro, he's very proud of being an investor. And he's telling us that let's we have to spread this, publish this.
Andre Guillaumon: Well, thank you to all who are with us during this hour. And I always highlight the commitment for the consistent delivery of results. We will continue doing this. Great gaps that we had we solved. When we decided to do the follow-on, we were criticized for the price. But the investors who followed us are very happy, very satisfied. And it was -- so, we were already had recurrent results. And we wanted to increase the liquidity. Today we're a company that has liquidity for the shares for small, medium, and large investors more than a 100 million being traded in the stock market. So, count on the dedication and the commitment of our team and certainly the shares will -- its results and share this with you. So, count on the dedication and also the work of all of us here. Thank you.
Operator: Thank you. Please disconnect your lines.